George Berman: Phil Frohlich - Prescott Group
Operator: Greetings and welcome to the Nam Tai Electronics, fourth quarter 2012 conference call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). It is now my pleasure to introduce your host, Kevin McGrath, Managing Partner Cameron Associates for Nam Tai Electronics. Thank you, sir. You may begin.
Kevin McGrath: Thank you Christine and good morning everyone. Thank you for joining us on Nam Tai’s fourth quarter and year ended 2012 conference call. On our conference call today with me will be Mr. M. K. Koo, Chairman and Chief Financial Officer. We will begin the call with a review of our financial results for the fourth quarter, followed by some comments about our business outlook. After our comments on the quarter we will open the call for Q&A with Mr. Koo. Today’s call is being webcast live and recorded. A copy of the press release which was issued this morning prior to the market open, along with other company information can be found on the Investor Relations page of the company’s website at www.namtai.com. This conference call will last approximately 30 minutes and after the call we can be reached for follow-up questions. During the Q&A, please limit yourself to one question and one follow-up to ensure everyone on the call who would like to ask a question has the opportunity to do so. You’re welcome to get back in the queue after you ask your question. Before we begin, I would like to remind everyone that during the call we will make forward-looking statements related to our future growth, trends in our industry and our financial and operational results and performance that are based on current expectations, forecasts and assumptions that involve risks and uncertainties that could cause actual outcome and results to differ materially. We refer you to our cautionary statements regarding forward-looking information and the company’s various public filings, including the Safe Harbor statement in today’s press release. We refer you to the risk factors and uncertainties discussed in the company’s various public filings, which contain and identify factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. These filings include our Form 20-F and subsequent reports on Form 6-K filed with the Securities and Exchange Commission, which can be accessed at sec.gov. Now on to the discussion of our fourth results. We are delighted to report that 2012 was a year with many accomplishments for Nam Tai. We ended the year on a high note with Q4 revenue growth of 263% with a number of our end markets continuing to perform well. We successfully transformed our business to one that now encompasses significant production of Liquid Crystal Display Modules or LCMs. We achieved sequential net sales growth of more than 23% in the December quarter with our LCM business, which -driving a majority of sequential and year-over-year growth. Net sales, gross profit and operating income for the fourth quarter of 2012 and 2011 had excluded the discontinued Liquid Crystal Display Panels business. Our net sales increased by more than 253% to $468.5 million for the fourth quarter, up from $129 million in the comparable quarter of 2011. Gross profit margin increased 950 basis points to 10.5% of net sales in the fourth quarter and 1% of net sales in the same period in 2011. Gross profit margin benefited from substantial increase in sales as a result of the ramping up of production of larger quantities of high resolution LCMs for smartphones and tablets on top of our existing base revenue, as well as some operating efficiencies. Nam Tai’s operating income was $38.2 million and lead to operating margin as a percent of sales of 8.2%. The effective tax rate for the quarter and the year was 13.4% and 20.4% respectively. Consolidated net income in the fourth quarter was $36.6 million as compared to a consolidated net loss of $5.6 million in the prior year period. Fourth quarter diluted EPS was $0.80 compared to a loss of $0.13 from the prior year. The improvement of the company’s results in the fourth quarter of 2012 was mainly due to four factors: First, sales increased by 253% compared to same period last year as a result of the company’s Shenzhen manufacturing facility, ramping to mass production of high-resolution LCMs for smartphones and the company’s Wuxi manufacturing facility continuing the production of high-resolution LCMs for tablets. Second, the company had a $4 million in other interest income, including $0.3 million of incentive allowance from the PRC government, $0.6 million interest income and $1 million of exchange gain. Third, the company has improved its gross and net profits by discontinuing certain sales orders due to poor performance. Fourth, Nam Tai benefited from certain exemption treatment and tax deduction for its Wuxi operation and a tax benefit of $0.6 million as a result of tax losses carried forward from last year. Moving on to the balance sheet, cash generation was outstanding this quarter with cash flow from operations of $47.4 million. Cash at December 31 was $157.8 million. As announced on November 5, 2012, the company has set payments of quarterly cash divided of $0.15 for 2013, up from $0.07 in 2012. Our expansion projects are moving ahead. In Wuxi we have applied to transfer a portion of our industrial land to residential land in order to build certain dormitory facilities for use by the company. On December 10 we announced that the Shenzhen government had agreed to release to the company a parcel of land in Shenzhen, Guangming Hi-Tech Industrial Park of approximately 1.2 million square feet, doubling our capacity as compared to our current Shenzhen facility. The transfer of land to the company has been completed and we currently anticipate that it will take three years approximately to complete relocation and expansion project. As previously announced, we conducted a critical assessment our print and circuit board business, which is in our Wuxi facility and after a thorough view decided to discontinue this business after the first quarter of 2013. We are currently coordinating with our existing customers for developing and manufacturing new models for the existing end buyer and other new customer LCM products used in smartphones, tablets, ultrabook computers and automobiles, as the company believes it will continue to drive the expansion of its existing production capacity in 2013. For 2012 our top five customers were approximately 95% of our revenue. We continue to strive to diversify our indirect customer base (inaudible) major direct customers. The company is currently coordinating with our existing customers as essential production partners to further diversify the company’s product portfolio by developing and manufacturing new models for the existing end buyer and also extend to other new customers LCM products used in smartphones and tables, and ultrabook computers and automobiles. The company believes, [with confidence] [ph] will continue to drive its growth in 2013 with its existing production capacity and facilities. To summarize the fourth quarter net sales, gross margin and net income, they are all up substantially. We are confident in our ability to build on the progress we made in 2012. In 2013 due to the high level of competition in the market for tablets, smartphones and Ultrabook computers, company’s management expect this [customer to] [ph] continue to fluctuate and its gross profit would also be under more pressure in 2013. Nevertheless and traditionally in the first quarter, the company has had lower sales however, we anticipate growth in the first quarter of 2013 as compared to the first quarter of 2012. That concludes our prepared remarks. We’d like to thank you for taking the time and interest in Nam Tai Electronics. Christine we will now take questions from the audience. Thank you.
Operator: Thank you. (Operator Instructions). Our first question comes from the line of Joe Pratt with Wells Fargo. Please proceed with our question.
Joe Pratt: Hi, good morning Mr. Koo and Kevin McGrath.
Ming Kown Koo: Hi, good morning.
Joe Pratt: I think I heard you say all of the new area of products is ultra thin computers. Could you just go into that a little bit before more and have you mentioned that before.
Ming Kown Koo: We don’t have mentioned that before.
Joe Pratt: Okay.
Ming Kown Koo: This is, we are already under study and discussion because all the time -- original consider about the production capacity is never filled up. So how to fill up the production capacity, our direct customer is (inaudible), maybe they can allow us to view the Ultrabook computer the LCM project under discussion. Right now we’ll be go ahead to produce, assemble or something.
Joe Pratt: Okay, and that’s known as an Ultrabook?
Ming Kown Koo: Yes, it’s for the LCM for the Ultrabook computer.
Joe Pratt: Okay, and Mr. Koo could you discuss, I think it was the first time in your video there’s the word ‘automotive business’ is used and in the fourth quarter was the automotive business bigger than it was in the September quarter or not.
Ming Kown Koo: The automobile LCM is original. We produced a long period already. But right now is become the more mature and then the orders become a little bit, little bit become more, but sill the sales volume from the automobile is not significant.
Joe Pratt: Okay, I think I saw an article recently in Digitimes that said the LCM displays for automobiles were going to increase going forward and in particular because of the Untied Sates regulation mandating to some degree those displays on automobiles. Could you comment at all on the -- is that a significant market size.
Ming Kown Koo: Well, it would not be so significant. We’ve (inaudible) two years. Maybe in the future maybe, but –within this two year I don’t think this will be significantly in our sales revenue.
Joe Pratt: Okay. Thank you very much.
Ming Kown Koo: Thank you.
Operator: Our next question comes from the line of Thomas Kahn with Kahn Brothers. Please proceed with your question.
Thomas Kahn: Good morning Mr. Koo, good morning Kevin.
Ming Kown Koo: Good morning.
Thomas Kahn: My question’s been answered. I had a question on automotive, but it was just answered. Thank you very much.
Ming Kown Koo: Yes.
Thomas Kahn: So I no longer have a question.
Ming Kown Koo: Thank you, Thomas.
Thomas Kahn: Thank you.
Operator: Our next question comes from the line of Brian White with Topeka Capital Markets. Please proceed with our question.
Brian White: Mr. Koo, could you talk a little bit about the content in an Ultrabook for Nam Tai versus say a Tablet or a Smartphone, the dollar content. In gross margin you mentioned gross margin under pressure in 2013, but maybe you could quantify a little bit how that compares to what you just reported. Thank you.
Ming Kown Koo: Do you mean the Ultrabook, the unit price?
Brian White: Yes, Nam Tai’s content in an Ultrabook, how does that compare? Is it 10% greater or 5% grater versus say a tablet versus say a Smartphone, the content of Nam Tai.
Ming Kown Koo: You mean the sales revenue for an Ultrabook.
Brian White: Correct, yes.
Ming Kown Koo: Well, probably maybe for my initial consider it will be around maybe 15% something like that, for this year.
Brian White: 15%, it’s over revenue this year.
Ming Kown Koo: Yes, yes.
Brian White: Okay and if you look at the average selling price for you, per unit, is it higher than a tablet or lower or how dose it compare versus a tablet.
Ming Kown Koo: By unit price it will be higher, because the size is over than 13 inches. The Ultrabook for the computer or Ultrabook computer the size is bigger. So the sales volume will be more, the unit price will be higher.
Brian White: And how much higher do you think it is Mr. Koo?
Ming Kown Koo: We have no idea right now. It depends on the direct customer, the idea and then consider about the cost and then allowable for us to have assembling charge or something like that, but it’s not decided.
Brian White: And then the gross margin, how do we think about just gross margin, let’s say versus 2012 it goes down, how many basis points just generally should we think about?
Ming Kown Koo: Regarding the gross profit margin it’s quite difficult to predict them, because we have a lot of pressure in the market, so severe for [compared to ours] [ph]. But this time the Ultrabook computer is, we consider work together with (inaudible), to combine the (inaudible) to stay together, to make it more thin and of course it’s become much more better. If we combine the (inaudible) display (inaudible) in the same company, to fulfill the LCM, the quality will become much more better. So this is probably more contribution [of where it would] [ph] be support – maybe [give some support] [ph] to the our margin.
Brian White: Okay and Mr. Koo, IGZO technology, are you involved at all in IGZO technology. Thank you.
Ming Kown Koo: Yes, yes, it our (inaudible).
Brian White: Okay, so you are involved in some of those IGZO programs.
Ming Kown Koo: Yes.
Brian White: Okay. Thank you.
Ming Kown Koo: Thank you.
Operator: Our next question comes from the line of Peter Stovell with First Light Advisors. Please proceed with your question.
Peter Stovell: Good morning Mr. Koo, good morning Kevin. Congrats on a great quarter.
Ming Kown Koo: Thank you Pete.
Peter Stovell: Mr. Koo the website is, the new website is significant improvement, thanks very much for that. I’m wondering if could help me. On the website it talks about production capacity, each of the different manufacturing facilities when they are fully utilized, being around $150 million per month, per facility. Is the basis of those numbers on the current product mix and average selling prices? And the follow-up question is, two follow-up questions, what is the current capacity utilization at each facility? And in the third quarter press release you talked about reaching full capacity at the end of 2013 and I was wondering if you could talk about any visibility on capacity utilization as we move towards the end of 2013? Thank you very much.
Ming Kown Koo: Thank you. Yes, the $150 million, each facility, two facility in total is $300 million combined is set up. The capacity from the beginning, the capital investment based on the production size and then we have considered a part of unit size, times the forecast quantity for the output and then it comes out to a $300 million total. The second question is that the capacity utilization for the company is around 30% total.
Peter Stovell: What was that number, sorry?
Ming Kown Koo: 30%, 30.
Peter Stovell: 30%, 30, got it.
Ming Kown Koo: Yes, because also consider about how long the holiday time is, the New Year holiday.
Peter Stovell: Yes sir.
Ming Kown Koo: And length of fee is that. What was the third question?
Peter Stovell: The third question was in visibility in the third quarter, the third quarter earnings transcript you mentioned moving towards full capacity by the end of 2013 across the two facilities and I’m wondering if you have any visibility in terms of capacity utilization towards the end of 2013.
Ming Kown Koo: Yes, two its now is considered, especially in the third quarter and the fourth quarter it means the last half year would be coming more PC and then will be full capacity of the year, of the year 2013.
Peter Stovell: Thank you very much Mr. Koo.
Ming Kown Koo: Thank you.
Operator: Our next question comes from the line of Matt Dunham (ph) with (Inaudible). Please proceed with your question.
Unidentified Analyst: Hi. Could you please discuss how Samsung’s decision to terminate their LCD’s panel contract with Apple may impact demand for Nam Tai’s manufacturing capacity?
Ming Kown Koo: You mean the -- which company.
Kevin McGrath: Well Matt, we don’t comment on any customers. We can comment our direct customers, which maybe Sharp and JDI for example, but we won’t comment on the end customer.
Ming Kown Koo: Okay. We can say that we have only two main customer to handle placing orders to us for the smartphone and the tablets. And then these are the two direct customers we will consider, also that is why to final another customer for them and then we should order to the LCM for the new customer order, including the smartphone, tablets which come from the ultrabook computer quarter and from use for the automobile. So our direct two customers will be considered like that and they also expand the original end customer to service all of them and hoping that the new customer and then the assisting the one end customer, all of them is the global company.
Unidentified Analyst: Okay thank you.
Ming Kown Koo: Thank you.
Operator: (Operator Instructions). Our next question comes from the line of (Inaudible). Please proceed with your question.
Unidentified Analyst: Hi, great quarter. Just a couple of questions for Mr. Koo. This is more of the side of products and of course in the newspaper we are seeing comments about Apple’s demand for products, so that in general kind of indicates there might be some slow down from Apple. But specifically, can you talk about the diversification of customers or product mix going forward, future generations of new products that we all know that are coming out. But in specific, how dependant on Sharp is Nam Tai and what are the programs that we work with them on besides just the tab. Thank you.
Ming Kown Koo: Oh yes, thanks. We probably are a direct customer and they have considered, requested the company to have an investment to view the new products in line for the tablet and/or for the Smartphone and their original forecast is exactly for one million per month, the units and for the (inaudible) it’s a form leading to the unit in months. But some of the fiscal on the delivery and the order will be saturate and we never achieved such kind of target. So perpetually its there, but we never achieved. So in case of the order comes from the end buyer is maybe changing, so the impact to us is not so serious. We can see that from our company that will promise, so. And for the future of our customer, direct customer, you know by this way they can get more of a order for the Smartphone or tablets from our other customer. So this is also -- we have told them and then as a production partner we will coordinate and share their order for viewing the LCM for their end buyer. Regarding the shop, we were working with them for the -- including the Ultrabook computer and also if (inaudible) the manufacturer, how to use our technology in our production, our facility to view or combine together with (inaudible) and the LCD space together. This is what is helping us to free up our perpetuity and then according to our closed corporate margin.
Unidentified Analyst: Okay and then in general as we move down the technology curves in terms of innovation, which we have a sense that’s occurring in the next generation of phones and tablets. Based on those revenue numbers that you’re currently producing, I’m assuming, but if I could hear you respond, that your doing a tremendous job in terms of being able to incorporate the new technology changes into your production.
Ming Kown Koo: Yes, and also we have to consider for assisting our empire for our two direct customers, is consider about some of the products necessary for another company investment, and then for the Smartphone and the tablet and then the company to consider is the end support for guaranteed covering investment type of reasonable return or not, we are under consider. Anyway, some of the models are not necessary to access the new products in line or machinery, if we find. But some of the order is necessary for another capital investment and then its under the consideration and discussion. If we for now its not secure and then the order is really unstable or something like that, then we’ll worry about the capital investment and not capital (inaudible) we have, so maybe yes, we’ll keep off some of the model.
Unidentified Analyst: And then the last question I think on this round is, are we working on a next generation Smartphone for JDC and if so, when could we expect that to be in production?
Ming Kown Koo: Now, it maybe in the March or maybe in the May. It’s under discussion by our direct customer and the end buyer.
Unidentified Analyst: Great. Excellent. Thank you.
Ming Kown Koo: Thank you.
Operator: Our next question comes from line of Bill Horn with First Angel Capital. Please proceed with your question.
Bill Horn: Good morning Mr. Koo. Congratulations on the wonderful quarter and year as well.
Ming Kown Koo: Thank you. That’s lucky.
Bill Horn: I’d like to just follow-up briefly on the ultrabook discussion. Can you give us a sense as to the size of those screens, those ultrabook screens that you would intend to be producing?
Ming Kown Koo: The size is over 13 inches, 13.3 inches.
Bill Horn: Okay, great. And I believe I heard you say that you would be using the ultrabook displays to fill in existing production capacity. Is that true or would you be building out a new production line specifically for the ultrabook sized group displays.
Ming Kown Koo: Actually, we have not used or kept it around (inaudible). So a little difficult at 13.3, probably maybe over. I think that the modification for the (inaudible) is limited. It’s not necessary we’ll have a heavy recovery (inaudible).
Bill Horn: So, you are saying that you would need a new production line for the 13.3 inch screen?
Ming Kown Koo: Just modify the original one. It’s not necessary to have a new production line.
Bill Horn: Okay. Can you provide any insight as to what you’ll be replacing the flexible circuit board production line with?
Ming Kown Koo: Yes, the FPC we will be continue and then we can reach to use the flexi – our production line.
Bill Horn: I’m sorry, can you say it again.
Ming Kown Koo: So we are stopped with this continuance, stopped FPC production. So move out all the machinery and then we’ll be replaced to use for the LCN (ph), the production facility again. If the order is increased, we can use in that kind of space.
Bill Horn: Okay. I guess one last question, then I’ll get back into the queue. Can you provide some details as to your production run rate on the tablets and Smartphones over the fourth quarter?
Ming Kown Koo: You mean the production in the Q4, the facility occupied?
Kevin McGrath: You’re asking about what’s the quantity that was shipped on the Smartphone and tablet?
Bill Horn: The quantity or the percent of production capacity that’s been utilized over the fourth quarter.
Ming Kown Koo: Okay. So in the Q4 and then the facility will be using around 50%, not all and then the other quantity is $1.5 million around a company, $1.5 million for tablets for example and then for the $10 million pick up for the Smartphone, approximate figures right there.
Bill Horn: I’m sorry, can you say it once more, $10 million?
Ming Kown Koo: $10 million for the Smartphone approximately, and around $1.5 million purely is for the tablet.
Bill Horn: Okay, thank you very much. Thank you for your answers and I’ll get back into the queue.
Ming Kown Koo: Thank you.
Operator: (Operator Instructions). Our next question comes from the line of Sven Karlen with Wells Fargo. Please proceed with your question.
Sven Karlen: Good evening Mr. Koo in Hong Kong.
Ming Kown Koo: Thank you. Good morning.
Sven Karlen: And congratulations on a terrific quarter. I’m interested in your headcount, in each of the plants what it is today, and what you expect it to be by the end of 2013?
Ming Kown Koo: Consider the headcount is around 7,000 at the end of year 2012 and in this year we expect will be increased to over 10,000.
Sven Karlen: Is that in both plants combined?
Ming Kown Koo: Combined, yes, both facility.
Sven Karlen: Okay, and the second question I have is, the yen is obviously reversed significantly in the last three months and I noticed that you’ve achieved currency gains consistently over the last two years and I’m wondering whether the reversal is going to cause a bit of a headwind in 2013?
Ming Kown Koo: The exchange gain is more profit come from the order, the income. The most proportion actually is come from FX for the company, the property or the machinery, something like that. From the beginning the purchasing price and the exchange come out to the local currency, RMB already. So from the U.S. dollar exchange rate against the Chinese RMB and then you can find out, so that’s our difference come. So the exchange gains come from like that really.
Sven Karlen: Okay, thank you.
Ming Kown Koo: Thank you.
Operator: Our next question comes from the line of George Berman with JP Turner. Please proceed with your question.
George Berman: Good evening Mr. Koo and thank you very much for a very nice quarter.
Ming Kown Koo: Thank you.
George Berman: In your press release you talk about moving your manufacturing facilities in Shenzhen to a different location. What would be your plan for the plant and land of your current Shenzhen facility, which I understand it would be zoned to high-end commercial.
Ming Kown Koo: Yes. I believe that may be the facility, the land to some other party when we move out, because we don’t know how to handle such kind of a real estate business and then we know nothing and then we are not allowable, we only allow with a focus on our core business and subject to – in case of some direct valuation if we cannot see -- handle showing the land or something, some restriction and then we will honor the final for them to handle the job. But this is what we consider about as a wearable asset for the company. Because our original, the facility, the location is outside the Shenzhen, (inaudible) and right now after the re-zoning its become a very special area and very available now. It’s a facility too in the one of the big fee airport, Shenzhen airport and another is a very special (inaudible), newly joint venture by the Hong Kong government and from the government. It’s called the Shanghai, Guangming Hong Kong Modern Share Lease Industrial Cooperation. So this is a special some kind of place, the benefit, so we are requested to calculate and then we solely become the commercial and finance center and then the old – we are allowable to have, to build the bulk area to use in five to seven times and that we can build around the three million square feet, the commercial building.
George Berman: Now, how long ago did you acquire this right?
Ming Kown Koo: It’s already in the 1990.
George Berman: 1990?
Ming Kown Koo: We get the land…
George Berman: And since then Shenzhen has grown tremendously?
Ming Kown Koo: Yes, yes, within this 20 years you can see it’s a big change now.
George Berman: Okay, great. Good luck for the future.
Ming Kown Koo: Thank you.
Operator: Our next question comes from the line of Phil Frohlich with the Prescott Group. Please proceed with your question.
Phil Frohlich: Good morning Mr. Koo. Good to talk to you again.
Ming Kown Koo: Good morning.
Phil Frohlich: My question is, this was a comment -- beautiful earnings with the board. My question is, there was a comment about gross profit being under more pressure in 2013. My question is, can you help us or give us the model to look at a target gross profit for this 2013 year. Are we talking about a major decrease in gross profit margins or a minor? Can you just help us quantify or give any color at all?
Ming Kown Koo: Regarding the gross profit margin, reasonable should be around – I consider around 6% to 7% reasonable. I am pleased to understand that our net profit is not only contributed by the operation; it’s some of the other income we had to mention. So if you read the factor, it lists all those other income and then I believe that 6% to 7% will be reasonable.
Phil Frohlich: Okay. Compared to like 10% this quarter.
Ming Kown Koo: Yes, we’re lucky.
Phil Frohlich: Yes, yes. Okay, thanks there.
Ming Kown Koo: Thank you.
Operator: Mr. McGrath, we have reached the end of the question-and-answer session. I would now like to turn the floor back over to you for closing comments.
Kevin McGrath: Thank you Christine and I thank everyone for your interest and participation in today’s call and we look forward to speaking with you during our first quarter 2013 conference call at the end of April. That concludes our conference call. Thank you again for joining. Bye-bye.
Ming Kown Koo: Thank you. All-right.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.